Operator: Good morning, everyone and welcome to the OFS Capital Corporation Second Quarter 2023 Earnings Conference Call. After today’s prepared remarks, there will be an opportunity to ask questions. [Operator Instructions] Please also note, today’s call is being recorded. At this time, I would like to hand the call over to Steve Altebrando, Vice President of Capital Markets. Please go ahead.
Steve Altebrando: Good morning, everyone and thank you for joining us. Also on the call today are Bilal Rashid, our Chairman and Chief Executive Officer; and Jeff Cerny, the company’s Chief Financial Officer and Treasurer. Before we begin, please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital management concerning anticipated results, are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management’s control, including the risk factors described from time to time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove inaccurate, and as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein and all forward-looking statements speak only as of the date of this call. With that, I’ll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Good morning. We are pleased to report another increase in our quarterly net investment income, which rose to $0.38 per share, up by $0.01 per share from the previous quarter. We expect to continue to see the benefits of our balance sheet positioning in the current interest rate environment with the vast majority of our loan portfolio being floating rate and the majority of our debt being fixed rate. As a result of this continued net investment income improvement, our Board increased the distribution for the third quarter to $0.34 per share, which is a 3% increase over the prior quarter. This is our 10th quarterly distribution increase over the last 12 quarters. Our net asset value declined 3.6% to $12.94 per share, primarily due to net unrealized depreciation on our equity and structured finance investments. The overall credit quality of our portfolio remained materially stable, and we had no new non-accruals in the quarter. We continue to believe that the cost of borrowing remains manageable for our portfolio companies. Yields on the portfolio continue to increase compared to the last quarter, in line with observed increases in benchmark rates. As part of our long-standing investment discipline, we generally avoid investing in highly cyclical industries. We believe that our well-diversified portfolio is defensively positioned with our largest sector exposures in manufacturing, health care, business services and technology. So far this year, M&A activity continues to be subdued with the expectation that we will see some pickup in the second half of the year. In the meantime, we remain deliberate in putting capital to work. Our financing continues to provide us with operational flexibility. At the end of the second quarter, approximately 86% of our outstanding debt matures in 2026 or later and more than half of our outstanding debt is unsecured. Our $150 million senior loan facility with BNP Paribas, which is non-recourse to the BDC, matures in June 2027. Our corporate line of credit is flexible with no mark-to-market provisions. As we have discussed before, 2 years ago, we locked in $180 million of fixed rate unsecured debt with a weighted average coupon of 4.8%, which is notably lower than current market pricing. The majority of our loan portfolio is senior secured, and we believe this will continue to benefit us in this uncertain economic environment. We also anticipate that we will continue to benefit from the experience of our adviser, which manages approximately $4.3 billion across the loan and structured credit markets, has expertise in multiple asset classes and industries, and has a more than 25-year track record through multiple credit cycles. At this point, I’ll turn the call over to Jeff Cerny, our Chief Financial Officer, to give you more details and color for the quarter.
Jeff Cerny: Thanks, Bilal. Good morning, everyone. As Bilal mentioned, we posted net investment income of $0.38 per share for the quarter. This compares favorably to our prior quarter’s net investment income of $0.37 per share. We also announced a quarterly distribution of $0.34 per share for the third quarter, which is a $0.01 or a 3% increase over the prior quarter. Quarter-over-quarter, our net investment income increased 3.5%. The increase was primarily due to higher interest income driven by higher yields, partially offset by lower dividend income and slightly higher interest expense. Our net asset value per share decreased by 3.6% to $12.94 per share. The decline this quarter was primarily due to net unrealized depreciation on our equity and structured credit investments. The credit quality of our portfolio remained relatively stable. We had no new non-accruals this quarter. At fair value, we currently have just 2.1% of our total investments on non-accrual status. Turning to the income statement. Total investment income was up approximately 2% to $14.5 million. As I previously mentioned, this was primarily due to an increase in interest income driven by higher yields. Total expenses of $9.4 million were up slightly, primarily due to an increase in the variable interest rate on our BNP credit facility. Net investment income was $0.38 per share for the second quarter. This is a $0.01 increase compared to last quarter, which continues the trend of quarterly increases over the past year. We continue to believe that net investment income will remain solid given that the vast majority of our loan portfolio is floating rate, while 69% of our outstanding debt is fixed rate. It is also worth noting that at quarter end, approximately 86% of our outstanding debt matures in 2026 or later and approximately 55% of our outstanding debt was unsecured. Excluding the SBIC debt, our regulatory debt-to-equity ratio was relatively stable quarter-over-quarter at approximately 1.62x and our regulatory asset coverage ratio was 162%. Turning to our investments. We are pleased by the continued performance of our portfolio companies in this uncertain macroeconomic environment. We expect to remain committed to being senior in the capital structure and selective in our underwriting. We remain cautious with regard to new originations. However, several of our portfolio companies continue to identify add-on opportunities for growth for which we either funded this quarter or are evaluating incremental funding in the third quarter. The majority of our investments are in loans. And as of June 30, nearly 100% of the loan portfolio at fair value was senior secured. In addition, at quarter’s end, 95% of the loan portfolio was floating rate, which is naturally advantageous in the current interest rate environment. While the pace of interest rate increases has slowed, the elevated interest rates continue to help our overall performance. As a percentage of cost, our overall investment portfolio includes approximately 72% senior secured loans, 1% subordinated debt, 22% structured finance notes and 5% equity securities. Our portfolio remains diversified. At the end of the quarter, we had investments in 78 unique issuers totaling approximately $495 million on a fair value basis. For the quarter ended June 30, the weighted average performing investment income yield on the interest-bearing portion of the portfolio, which includes all interest, prepayment fees and amortization of deferred loan fees, was up 80 basis points to 13.8%. With that, I will turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. To wrap up our call today, we are happy to report continued growth in net investment income this quarter, in part due to our strong balance sheet positioning. The vast majority of our loan portfolio is comprised of floating rate investments, and 69% of our outstanding debt is fixed rate. Our focus remains on capital preservation with nearly 100% of our loan portfolio at fair value being senior secured, and we remain confident in the overall quality and fundamentals of our portfolio. Our financing is primarily long-term with approximately 86% of our outstanding debt maturing in 2026 and beyond. We have relied on our long-standing experience and investment discipline, which has served us well. Since the beginning of 2011, the BDC has invested more than $1.9 billion with a cumulative net realized loss of just 2.5% over the last 12.5 years, while generating attractive risk-adjusted returns on our portfolio. We believe our business is especially equipped to navigate this market successfully due to the size, experience and reputation of our advisor. With a $4.3 billion corporate credit platform affiliated with a more than $30 billion asset management group, our advisor has broad expertise including long-standing banking and capital markets relationships. Our corporate credit platform has gone through multiple credit cycles over the last 25-plus years. Our advisor is also strongly aligned with shareholders as it maintains a 22% ownership stake in the BDC. With that, operator, please open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today’s first question comes from Mitchel Penn with Oppenheimer. Please go ahead.
Mitchel Penn: Hey guys. Can you give us the percent of the portfolio in second liens?
Jeff Cerny: Good morning Mitchel. Yes. Thanks for the question. 18% of the loan portfolio is in second lien credit. And as you know, we have said before those tend to be the larger, more liquid names.
Mitchel Penn: Yes. And is it possible to get sort of the portfolio’s weighted average interest coverage ratio? Do you have that?
Jeff Cerny: It is something that we look at. We don’t typically publish that statistic. But I can tell you that obviously, we do model downside, which includes sensitivity of interest rates. And with the portfolio generally being first lien coverage ratios, while they have tightened, they are still manageable in light of the current environment.
Mitchel Penn: Got it. The percentage of your portfolio with a loan-to-value greater than 50%, how much is that?
Jeff Cerny: Loan-to-value, loan-to-enterprise value greater than 50%?
Mitchel Penn: Yes.
Jeff Cerny: It’s not a statistic that I have in my fingertips right now, Mitchel.
Mitchel Penn: Okay. That’s all for me. Thank you, guys.
Bilal Rashid: Okay. Thank you.
Operator: This concludes our question-and-answer session, and the call has now concluded. Thank you for attending today’s presentation. You may now disconnect.